Operator: Ladies and gentlemen thank you for standing by and welcome to the Alvarion second quarter 2012 results conference call. For the conference, all the participants are in a listen-only mode. There will be an opportunity for your questions. Instructions will be given at that time. As a reminder, today's call is being recorded. I will now turn the conference over to Vice President, Investor relations, Ms. Elana Holzman. Please go ahead.
Elana Holzman: Good morning everyone and thank you for joining us for Alvarion’s second quarter 2012 earnings conference call. I hope you have had an opportunity to review the press release we issued earlier today. You can find a copy on our website at www.alvarion.com. I am joined today by Hezi Lapid, President and CEO and Lior Shemesh, CFO. Hezi and Lior will provide an update on our business and second quarter results after which we will open the call for questions. Before turning the call over to Hezi for his prepared comments, we would like to remind you that Hezi and Lior will be making certain forward-looking statements during the call. These statements are based on management’s current expectations and certain planning assumptions which are subject to various risks and uncertainties. Actual results may differ materially due to factors mentioned in today's call, in today's press release and as discussed in this conference call as well as in the risk factors included in our SEC filing. We do not undertake to update the disclosure in light of new information or future event. Also, please note that certain financial measure we use in our results and on this call including the guidance we provide are expressed on a non-GAAP basis and have been adjusted to exclude certain charges. We have provided reconciliations of these non-GAAP financial measures to GAAP financial measures in the earnings release which can be found on the website. Hezi?
Hezi Lapid: Thank you, Elana and hello everyone. The focus of our efforts since I joined Alvarion in May has been to put in place a turnaround plan and move forward with its execution. The first step which was already announced early in the quarter includes the various expense reduction measures, including a global wage reduction for all employees and Board members, along with adjustment for headcount. We say at least, we implemented a new organizational structure, which we believe will streamline operations and enable us to manage more effectively and profitably. One of the key aspects of the new structure was establishment of a federal division dedicated to Alvarion's carrier license solution. We expect that the federal organization focused on the carrier license agreement with better control over cost, revenues and customer service will help this business reach profitability. This will also better position the entire Alvarion organization and executing on different target markets. Another element of our turnaround plan, which is still ongoing, is an in-depth review of our value proposition in our target markets to assure that we are in the right markets and that our R&D roadmap is the right one going forward to win in these target markets. We also have very soon results of this review on the next quarterly all. Moving to some project related update. During Q2, we began selling the BreezeCOMPACT, which is our small-footprint, high-capacity base station for the carrier license market. We see great enthusiasm for the product and are encouraged by market demand for it. We also recently announced the new indoor carrier-grade WiFi access point which completes our WiFi offering which is now a full end-to-end WiFi solution for indoor and outdoor coverage. These new indoor solution is well suited to meet the data coverage and performance posed by large, crowded indoor spaces such as malls, hotels and airport at the right price point. These expense reductions and organizational changes new product introduction, another initiatives together, will put us on track for reaching growth and profitability. I believe that we are definitely moving in the right direction. As you can see from our guidance, we expect Q3 to be better than Q2. We believe we are on track to reach our goal of at least breakeven operational cash flow in Q4 as the full impact of our cost reduction measures takes full effect. Before turning the call to Lior, I would like to make one last comment about our NASDAQ listing. Our top priority over the last few months has been to put in place and begin cementing a turnaround plans for our volumes which we believe would be translated with times into shareholder value. At the same time, being listed on NASDAQ is important to us and therefore we are pursuing way to remain listed on NASDAQ. Lior?
Lior Shemesh: Thank you, Hezi and hello everyone. In Q2 our revenues increased 1.5% sequentially to $33.8 million. The geographic breakdown are as follows, EMEA accounted for 39% of the total revenue compared to 56% in Q1, Latin America for 19% compared to 17% in Q1, North America for 17% compared to 12% and Asia-Pacific for 25% compared to 15% in Q1. We added one [10%] customer in Q2 a clear WiFi customer serving operators in China. WiMAX operators in North America and Latin America were also large customer during this quarter. In carrier license business which includes mainly our BreezeMAX products accounted for approximately 65% of total revenues in Q2 which was about the same as in Q1. Vertical market solutions in carrier and licensed products together accounted for the other 45% of revenues. Our GAAP gross margin was 36.9% excluding stock based compensation, our non-GAAP gross margin was 37.4%. The sequential decline in gross margin resulted from a different geographic sales mix. GAAP operating expenses in Q2 were $22.4 million excluding stock based compensation and restructuring and acquisition of related charges. Non-GAAP operating expenses were $17.6 million by Q4 when the full effect of the restructuring is reflected in our results we are targeting at least breakeven operating results. On the GAAP basis in Q2, we reported a net loss of $0.17 per share. On a non-GAAP basis, we reported a net loss of $0.09. Turning to the balance sheet, cash and cash equivalents and investments as of June 17 totaled [$32 million] reflecting cash using operations of $9 million and $7 million repayment of principal according to the terms of a three year loan agreement with Silicon Valley Bank and a $2.7 million payment subject to the earn out provisions of the Wavion acquisition. This reflects our final repayment for the Wavion acquisitions. Inventory total to [$37.6 million] similar to Q1 our DSOs decreased to 126 days to 177 days. As we indicated we expect a reduction in cash using operations in Q3. We are aiming to at least breakeven operating cash flow in Q4. The break even point for the business is approximately $34 million in revenues and $14 million to $15 million in operating expenses. Our revenue guidance for Q3 2012 in the range of $31 million to [$39 million] depending on shipment volume and mix Q3 GAAP per share results are expected to range between also a loss of $0.6 and a profit of $0.2. GAAP share results are expected to range between a loss of $0.8 and break even before any one-time charges. Now we will be happy to take your questions.
Operator: Thank you. (Operator Instructions) And from the line of Gunther Carter from Discovery Group. Please go ahead.
Gunther Carter: I came on the call a little late and may be I missed it. The question is what, if any plans, are underway to regain listing NASDAQ which unless something happens or will be happening this October?
Hezi Lapid: I think the first thing obviously is to make sure that our plans would be revealed and will be on track and I know that time is critical here and we may not be in a position that this turnaround plan would reflect the value. So we are considering some other measures that are available including maybe getting some investments in the company and other measures. I think all are very well known and anyway we didn't make up or funnel ideas about it. But specifically just repeating myself, we will do what we have to do to stay.
Operator: (Operator Instructions) And from the line of Robert Katz from Sunvest. Please go ahead.
Robert Katz: Can you break out how much of your revenue this quarter from WiFi versus WiMAX?
Lior Shemesh: We mentioned that 55% of revenue coming from the material license which is mainly the WiMAX business and around 45% coming from the unlicensed business which includes both the vertical and WiFi off road activities.
Robert Katz: And how would that break up between WiFi and WiMAX?
Lior Shemesh: We do not breakdown between the WiFi offload and the verticals.
Robert Katz: Okay do you think your book-to-bill is above one, was that across both WiMAX and WiFi or was one higher than the other, can you give color on that?
Lior Shemesh: Both of them were high including the general license which is the WiMAX, large orders that we got from Latin America and Eastern Europe and the same for the WiFi offload with large orders that we got specifically from China.
Robert Katz: And on the China orders do you anticipate that to continue or they are one time, was that for one, may be can you give a little more color is that for one city, one region, how does that grow from here?
Lior Shemesh: We expect it to continue. We get a few millions of dollars of orders each quarter from China. Q2 was very strong for us. And we expect that we will see more orders in the coming quarters.
Robert Katz: On the WiFi side, are you seeing other areas of interest or your existing customers in WiMAX looking at your WiFi products and trying to express interest for orders or?
Hezi Lapid: What I can say on the WiFi is that we are planning to meet our targets and maybe get the better results even for the year.
Operator: And we have a question from Scott Searle with Unterberg Capital. Please go ahead.
Scott Searle: Just a couple of quick points of clarification. In terms of the OpEx targets that you talked about, 14 million to 15 million, will you be reaching that in the September quarter? Have they already been implemented or is that a December quarter event. And then maybe just to follow up on (inaudible) question. You know in terms of the vertical market business, you know maybe give us an idea of what that size was in the current quarter or directionally how that's heading? You know was down in June, will it be up in September and similarly may be for the Wavion business, was that of sequentially from March to June?
Hezi Lapid: The WiFi, what you called Wavion equipment, the WiFi is better. And we see it growing from quarter to quarter and as I mentioned earlier, we will reach our target and probably will make better with it. And the OpEx question, it will practically get stable somewhere mid-Q4 and not December.
Scott Searle: And just to follow up a little bit in terms of the range of outcomes looking at that 39 to 31 million in September quarter, what are the biggest levers in either direction that are going to push it towards the higher end or the lower end of the range. Is this a couple of large WiFi deals; is there some large carrier WiMAX business out there? What does that pipeline look like that’s driving that variance?
Lior Shemesh: It’s mainly large products in both carrier license and also carrier unlicensed mainly the WiFi offload because usually those projects can happen in the same quarter or not and this is what drives the range between the low to the higher end.
Scott Searle: And just in terms of the vertical market business, I think it had been struggling. There were some new products that you were trying to get out. I am not sure if you mentioned that in your opening remarks, but could you remind us, are there some new products there that would help that end market for you?
Hezi Lapid: We have launched a new product and we will try point to point for that, w but I believe we have announced it really few weeks of last quarter. It’s a new product that is received very well in the market and we believe that it will pick up its own sale.
Scott Searle: And lastly I apologize if you covered this. I missed the opening remarks, but last quarter you had indicated exploring different options for the carrier WiMAX business. Did you give an update on that front or at this point are you committed or resigned that it’s going to maintain an internal part of Alvarion going forward?
Hezi Lapid: Well we are committed; there was a previous question last time. We have committed not to shutting it down. Other than that we are committed to turn it into a profitable organization and division. It will not burn cash; it will give us some cash. And we are still considering other options of how to make it better with it after it's breakeven.
Operator: And to the presenters, I have no additional questions. I will turn it back to Ms. Holzman.
Elana Holzman: Thank you all for joining us. I hope you can join us again in the future. Goodbye.
Operator: Ladies and gentlemen, that does conclude your conference call today. Thank you for your participation. You may now disconnect.